Operator: Thank you for standing by, and welcome to Mineral Resources FY '26 Half Year Results Briefing. Your hosts today are Malcolm Bundey, Independent Non-Executive Chair; Chris Ellison, Managing Director; and Mark Wilson, Chief Financial Officer. We will start with 15 minutes of prerecorded opening remarks before we move into live Q&A. [Operator Instructions] This call is being recorded with a written transcript being uploaded to the MinRes website later today. I will now hand over to Chris Ellison, Managing Director.
Christopher Ellison: Good morning, everyone, and thanks for joining us. This is the MinRes FY '26 half year results announcement. I'm Chris Ellison, Managing Director. I'm joined today by our Chair, Mal Bundey; and our CFO, Mark Wilson, and Mark is going to run you through the financials when I get through this section. Before we begin, I want to acknowledge the tragic loss of our colleague and friend, Tim Picton, who sadly passed on the 19th of January. As our Strategy Director, Tim's brilliant strategic mind and extraordinary work has left a long-lasting legacy to our company. Last month in Federal Parliament, the Prime Minister paid a fitting tribute to Tim, which detailed the many extraordinary achievements he had made in just 36 years on the planet. He's deeply missed by his colleagues. He's missed by his MinRes family. He's missed right across Australia by a lot of people, and our thoughts remain with his family. This morning, I'm proud to report the first half of FY '26 has been our strongest 6 months ever. We delivered record underlying EBITDA of $1.2 billion for the half based on revenue of $3.1 billion with nearly $300 million in free cash flow. Over recent years, MinRes has seen periods when iron ore prices have been over $220 a tonne and spodumene up beyond $8,000 a tonne. Remarkably, this half outperformed them all and despite much softer commodity prices. Iron ore had an average of around 100 tonnes during this period, less than half the historic highs. And while lithium prices have rebounded in recent months, the September quarter only averaged $849 a tonne and the first half sat at around $972 per tonne. This first half result was the result of 3 main areas. Firstly, outstanding operational performance. Onslow hit nameplate in August. And we improved performance in the lithium mines, which resulted in recent guidance upgrades. Secondly, record mining services earnings, which was up 29% on the prior year. And finally, cost discipline. The Onslow Iron FOB cost of $52 a tonne and costs at Wodgina and Mt. Marion both track to the bottom end of guidance. Let me just reiterate what Onslow Iron means to MinRes because it's central to the quality and the strength of our earnings. At $100 a tonne iron ore price, Onslow Iron will generate over $1 billion of annual EBITDA. That's demonstrated by Onslow Iron having contributed just over $500 million in the past 6 months. This result validates the key strategic decisions made over recent years. Many of those decisions related to the investment, planning, construction and ramp-up of Onslow Iron. It's worth remembering that many thought this project couldn't be done without building a costly rail line and a deepwater port. We saw opportunity where others didn't and put our in-house expertise and world-class innovation to work, which prompted some to question our capability to deliver. Despite this and some early challenges, we stayed the course and we delivered in record time. As a result, we entered FY '26 with plenty of momentum and achieved several key milestones. We safely ramped up production to nameplate capacity in August. We completely finished the upgrades to the haul road in September. And most importantly, we've sustained nameplate production, and we've proved the quality of our innovative supply chain from the jumbo road trains to the transhippers. Importantly, Onslow Iron also showcases the scale, innovation and executional excellence of our Mining Services business. In the half, Mining Services delivered record volumes of 166 million tonnes and generated EBITDA of $488 million, up 29% on the prior year. The division is firmly on track to generate almost $1 billion in annualized EBITDA. Our Mining Services capability is world-class and fundamentally different from traditional listed peers who focus largely on civil and mining work. The Engineering and Construction division has decades of experience and a reputation of delivering lump sum fixed price projects. We're the only organization I know of in Australia that can do these feats, and we've done them for over 20 years. We design, we build and we operate, and we do it faster and more cost effectively than anyone in the industry. That integral capability gives us a clear competitive advantage and highlights the unique service we bring to our clients and JV partners. After the success of Onslow Iron, interest has increased from potential clients looking to similar integrated solutions. We were awarded 2 new contracts and renewed 3 contracts during the period, and the long-term outlook for the mining services remains strong. We expect to continue growing volumes and earnings into the future. Let's talk a little bit about lithium. In June last year, we sold cargoes for around USD 600 a tonne. We averaged around $970 a tonne during the half and prices continue to rise. We sold a cargo for $2,500 in recent weeks and the supply-demand curve certainly is changing significantly. We stayed disciplined through the weaker price environment. We cut costs. We drove efficiency improvements. We made tough decisions but necessary to ensure that we could capture the upside as the lithium demand increases. Wodgina achieved processing recovery rates of around 70% in the December quarter, a key milestone. We expect recoveries to improve further as we access more fresh ore and we go deeper into the pit towards the end of this calendar year. Marion also saw some great gains with higher feed tonnes, improved recoveries, and we're continuing to progress the study around the flow plant and the underground. The POSCO transaction was announced in November. It reflects our track record monetizing assets with world-class partners. The JV will materially strengthen our balance sheet while ensuring we retain significant exposure to the lithium market, and we retain our mining services contracts. We're also assessing further growth options in lithium, including the potential restart of Bald Hill. These studies are ongoing and we'll update the market when appropriate. I'll now briefly touch on the balance sheet. When we committed to Onslow Iron, I described it as a transformational project that would generate significant cash flow and drive the deleveraging of our balance sheet. That vision is now a reality. The project's earnings power has significantly improved our balance sheet. In 6 months alone, our net debt balance fell almost $0.5 billion to below $4.9 billion and our leverage more than halved. Our liquidity has strengthened to over $1.4 billion, and the POSCO transaction is expected to be completed in the first half of calendar '26. MinRes will receive approximately $1.1 billion in additional proceeds. With 2 more transhippers coming online from the middle of this year, we expect to lift Onslow Iron capacity towards 40 million tonnes run rate. This will support stronger cash generation and it will further assist our deleveraging trajectory. Looking ahead, we're focused on more of the same, operating safely, delivering on our guidance, optimizing our existing assets and continuing to strengthen our balance sheet. There's still a lot of work to be done, but let's remember, the past few years have been the best growth and development period in our history. This has included bringing Onslow Iron from concept to full production in 3 short years, responding quickly to the changing lithium market. We exited the hydroxide business. We idled the mines. We optimized the hard rock deposits and improved the recoveries. We've grown our Mining Services business. In short, from '23 to '26, we've doubled it. And we've not just doubled it, the earnings are sustainable for decades and decades to come. They're a high-quality income stream. We're recycling $3.3 billion in capital through world-class partnerships through the iron ore, lithium and the gas businesses. We sold down on the haul road. We were in the process right now of concluding a deal with POSCO on our lithium business. And we sold down on the gas and brought Hancock in as a long-term JV partner on the exploration assets that we have in both the Perth and Carnarvon basins. And look, finally, I want to acknowledge the most important part of our business. We've got over 7,000 men and women in our business that tirelessly work every day. They underpin our success. I'm proud of everything they've achieved, and I'm excited about what's to come in the months and years ahead. I also want to acknowledge Mal Bundey, our new Chairman. Mal come on board in April, and he has just been a powerhouse. He's done a huge amount of work right across the business, including refreshing the Board who again have worked tirelessly, and they continue to strengthen our governance and our framework and in step with the operational and financial performance the business is driving. Finally, I want to thank all of our shareholders and our partners, our JV partners and our clients for their unrelenting ongoing support. Thanks, and I'll hand over to Mark.
Mark Wilson: Thank you, Chris, and good morning, everyone. I'm pleased to present MinRes' financial performance for first half fiscal '26. It's a strong result that reflects the fundamental transformation of our business now underway. As Chris outlined, we delivered record underlying EBITDA of approximately $1.2 billion on revenue of $3.1 billion for the half year. This was the strongest 6-month period in the company's history. What makes this result particularly significant is the quality of the earnings. This wasn't the result of commodity price luck. Rather, it was built on operational excellence, volume growth, cost discipline and the successful commissioning of Onslow Iron at its nameplate capacity, driven by our Mining Services business. This performance reflects the strength of our diversified business model and the repositioning of our portfolio to transition to higher-quality assets, along with increasing recurring Mining Services earnings. Mining Services continues to be the bedrock of the business and delivered a record underlying EBITDA of $488 million. This was driven by record production volumes and an EBITDA per tonne margin of $2.10. It also included a significant contribution from the Onslow Iron Road Trust, which is an infrastructure-like cash flow annuity stream that is inflation indexed. It's important to note sustaining CapEx for Mining Services was only $24 million, highlighting the strong free cash flow generation of that business. In iron ore, underlying EBITDA was $573 million. And of this, $519 million was from Onslow Iron, demonstrating the substantial positive cash flows from this long-life project. In lithium, we reported an average SC6 equivalent price of USD 972 a tonne, which delivered underlying EBITDA of $167 million. Importantly, balance sheet deleveraging has clearly commenced. We generated free cash flow of $293 million in the 6 months after CapEx of $600 million with net debt declining by almost $0.5 billion to approximately $4.9 billion. Liquidity strengthened to over $1.4 billion, consisting of more than $600 million in cash and a fully undrawn $800 million revolving credit facility. In October, we successfully refinanced our USD 700 million bond, pushing the maturity out to April 2031 at our lowest ever coupon rate of 7%. That offer attracted significant demand and was a clear vote of confidence from the debt capital markets, both in MinRes and in our strategy. Completion of the POSCO partnership, which is expected in the first half of this calendar year, will bring in $1.1 billion and put us on a clear path to be below our 2x net leverage target by June. At our AGM last November, we outlined an updated capital allocation framework and financial policies following extensive Board review. This framework provides clear discipline and transparency around how we allocate capital and manage the balance sheet. First, liquidity. We significantly raised our liquidity buffer from a minimum of $400 million to $1 billion at all times, including at least $400 million in cash. This ensures we have a substantial buffer to withstand commodity price volatility and take advantage of potential opportunities. Second, leverage. We've amended our target to below 2x net debt to EBITDA through the cycle, allowing only temporary exceptions during major capital projects, provided there's a clear path back to target within 12 to 18 months. The amendment from a prior gross leverage target better aligns with market practice and does not penalize the business for holding elevated levels of cash on the balance sheet, and we believe this is a prudent measure in a cyclical industry. Third, dividends. Our discretionary dividend policy of paying out up to 50% of underlying NPAT remains in place. However, dividends will now only be paid if our liquidity and leverage thresholds are met or there's a clear line of sight to meeting them within 12 months. And ultimately, any dividend decision will be weighed against the growth opportunities available at the time. Right now, however, the Board has taken the prudent decision not to declare an interim dividend as we focus on fortifying the balance sheet. Finally, growth investment. All growth decisions must satisfy high return thresholds of 20% return on invested capital post tax and remain firmly aligned with this refreshed capital allocation framework. In summary, first half of fiscal '26 demonstrates that we're delivering on our commitments, record earnings driven by operational performance rather than extraordinary commodity prices, a strengthened financial position with increasing free cash flow generation and a clear framework for disciplined capital allocation that will drive sustainable returns for our shareholders moving forward. Thank you. We're now happy to take your questions.
Operator: [Operator Instructions] Our first question today comes from Lachlan Shaw from UBS.
Lachlan Shaw: 2 from me today. Maybe can I start just at Onslow. So obviously, transhippers 6 and 7 coming in shortly, getting your notional capacity towards 38, but you are flagging sort of pushing towards 40. How do we think about that in terms of -- is that just a case of sweating the chain overall? Is there sort of incremental capital to come there? How do we think about that? And then I'll come back with my second question.
Christopher Ellison: Yes. I think, look, I've said that a couple of times, much to my team's dismay, but they like call it, call out 38, and 38 is a safe number. We should get there fairly simply. I mean, we're running 35 now. Transhipper #6 will get us to 38. Given time, with the crews bedding in, getting the channel passing and all of those incremental things happening, we've got a bit of dredging to do that'll give us a bit more weight on board, over the next few months. So my expectation is I want to drive them towards sweating the assets up to around $40 million.
Operator: Lachlan, did you have your second question? Okay, our next...
Lachlan Shaw: Yes, I do.
Operator: Sorry, go ahead.
Lachlan Shaw: Should we think -- be thinking about 40 million tonnes in FY '28?
Christopher Ellison: No, no. Think about 38. Transhipper 6 and 7 rock up around about May, June. We'll be trying to get 6 in action, so it will probably kick into life about late July. It will start performing. Transhipper $7 will be there to sort of support them on the maintenance and kick in a few tonnes as well. That really won't come to life until about October, so we already lose those tons going into the first year. If you want to go out a year beyond that, you can be a bit more hopeful.
Lachlan Shaw: Got it. And then just my second question then. So just in terms of Wodgina, we've seen a few of your peers start to talk about restarting capacity, latent capacity, but also some potential new operations and DSO coming in as well, maybe in the second half. Obviously, you're still talking to getting on top of the strip by the end of this calendar year. And then likely having the mine capacity, the fresh ore feed to support 3 trains from the start of calendar '27. Can you just help us understand, is that -- what's driving that? Is that a sort of purposeful decision to target margin? And just the context here, I suppose, is just a really good performance in terms of recovery uplift there, and potentially more to come once you get more fresh ore feed coming into the concentrators.
Christopher Ellison: Yes. No, look, that's all about the strip. I mean, we were going a lot quicker, going back 18 months ago when the price turned down. We pulled back on a lot of the mining equipment just to make sure we could control the spend. But we expect to have most of that rock off by the end of this year. And once we've done that, we'll have a clear run on those 3 trains, and the actual feed going into the plant, the grade increases a little bit as well, so another kicker for it. So come start of next calendar year, Wodgina will be in a truly good place.
Operator: Our next question comes from Adam Martin from E&P.
Adam Martin: I suppose first question, just on the sort of deleveraging. Clearly you've had to slow spending. I'm just wondering whether that's sort of held the organization back in any way, thinking maybe about Mining Services, whether there's sort of more opportunities to delever, but maybe you could just comment on that, please?
Christopher Ellison: Yes. No, I wouldn't say that holds us back in Mining Services. We take advantage of every mining services opportunity. That's the expectation from our clients. We always make sure we're there to deliver for them, as if we own the ore ourselves. We've certainly, it's probably a once-in-a-generational event to build an iron ore project. I mean, Rio done it once, BHP done it once, FMG did it once. It takes a lot of capital. We had a window of opportunity to do that. And I think that there's no doubt now our shareholders are going to see the benefits in spades. So we're still out there looking around at other opportunities, but at the same time, I mean, carefully managing the balance sheet as we've set out that we would.
Adam Martin: Just a second question, just on gas. It looks like you're sort of ramping up exploration. You've got a few wells there in the Perth Basin and one or two in the Carnarvon Basin. Is that -- just to sort of refresh on the strategy there, you're sort of building up resources to get in production. Just talk us through, what the strategy there is, please?
Christopher Ellison: Yes. Well, look, we've got a couple of areas in both the Perth Basin and the Carnarvon Basin that look very promising. And what we'd like to be able to do is we'd like to be self-sufficient in gas for the long term, at least for the next sort of 10-15 years out. It's all about -- in our business, it's really all about controlling the costs that you can control, so energy, transport, shipping, all of those sort of things, we work hard to control. Exchange rate, commodity prices are out of our control, but the more we control, the more we can reduce that bottom line.
Operator: Our next question today comes from Rahul Anand from Morgan Stanley.
Rahul Anand: Chris, indeed, a good set of numbers and obviously a business really starting to hum along now. Look, I've got 2 questions on the Mining Services business. First one is around the Mining Services EBITDA margin realized at about $2.0. Quite a good result there, and I think perhaps a bit higher than I think where your guidance was, I guess, just sub-$2 I think from Mark. So I guess, where do you see that trajectory going forward as Onslow continues the ramp up or is fully ramped up, and then you're kind of looking at a mix of contractor trucks coming off in your system? That's the first one. I'll come back with a second.
Christopher Ellison: Okay. Look, that's a little bit higher than what we expected, but I mean, we overperformed at Onslow Iron. We got the contractor trucks out quickly, got the road repairs done, got all our trucks back on the road. So we got back to a normal, steady state of operation. And we were sitting in there on ramp-up rates, which were higher than the steady state rates. So that really sort of was the kicker that that give us that little bit extra. It wasn't intended that way, it's just that we got super-efficient and we over-earned on the mining services.
Rahul Anand: Just to clarify then, Chris. Are all the contractor trucks now off then?
Christopher Ellison: Yes, yes. So we're 100% on the main haul road. And we only have the big jumbo trucks running there. We're not mixing any other trucks with them. They've been gone for a number of months now.
Rahul Anand: Brilliant. Okay, look, my second question is around the order book in the Mining Services business. I guess, how are you seeing the order activity currently in the market? And then also, in terms of the new contracts that you're looking at, is that primarily going to be in the crushing space that your focus is given how good the margins are? Or would you also consider to kind of pick-up projects where there's an opportunity to build, followed by crushing, so to speak, just because the way the contracts are being given out, given construction can have pretty variable margins as well? And then, how are you thinking about the book in terms of domestic and international as well?
Christopher Ellison: Yes, we're mainly sticking to domestic right here, right now. We have been -- as you know, we've been looking further afield, but I've been waiting to get some resources off the Onslow Iron build so that I could use them. We've got one fairly large construction team, probably I rate it the best in Australia. We've had them together for we got members in there that have been around for 30 years. So that's part of our Mining Services business. We can actually go out and build a project on a lump sum number. So that allows us to be able to deliver high quality, build, own, operate, crushing and processing plants, so we know what that number is. We can build it for a lesser cost than almost anyone in the industry, that helps us with the margin. Going forward, there's going to be a mix of Mining Services. The big trucks, the jumbo road trains are proving fairly popular. We've got a number of them out to third parties. We're also looking across the board to use that combined skill and currency we've got. So we go out there and we'll go and build a processing plant or a total mine site where we can operate it for a period of time. It may end up down the track that we pass it over, and they write us a check, but there's a whole combination of things that we're offering our clients, where we can sort of satisfy their needs. We're getting a lot of inquiries around that. We've been able to prove that we can still do what we do through building Onslow Iron. And it's awfully tough out there in Australia right now with the industrial relations and a range of other things, the costs. I'm going to say in the last 5 to 6 years, the cost of building a mine in Australia has all but doubled and the time to get them built has even grown as much. So it's getting to a point where it's really tough to get a return on these big commodity mines.
Operator: Our next question comes from Mitch Ryan from Jefferies.
Mitch Ryan: First one, just with regards to sustaining capital, obviously relatively low in the half. I'm trying to get a feel if it's been suppressed to aid in deleveraging or what you think a steady state number will look like going forward?
Mark Wilson: Mitch, it's Mark. We're still thinking in terms of about $500 million a year. Recognize it might have been a little bit lower in the first half, but yes, still holding the $500 million that we've talked about previously.
Mitch Ryan: Okay. And then my second one, can you just provide a timeline of when we can expect capital numbers for each of your lithium projects or growth projects that you're thinking about, such as Wodgina Train 4, Mt. Marion [ float ] and underground and Bald Hill? Can you just remind me of when we should expect that?
Christopher Ellison: Yes. Haven't got a fixed time on that. As we've said, we're looking at a few of those brownfield opportunities and the returns on them are fairly significant at -- even at reduced values of lithium. We'll probably look -- as soon as we get through them, we're looking at, obviously float and going underground down at Marion. We're halfway underground now. That's almost a no-brainer to get that sort of moving, but again, we're trying to be cautious. We want to make sure that we deliver on the balance sheet. So we're not going to jump the gun on that, and I want to make sure before I go spend any money on those sort of areas around the lithium, that we got something sustainable going forward in terms of the value of, selling the spot. It's feeling good at the moment. It certainly feels like the supply has got a deficit in it. It's pushed the prices up and it pushed them up dramatically. But look, we need just a little more time. I mean, to be comfortable, I want to get to the end of this financial year and be able to have a look at the leverage on our balance sheet and go that we've delivered and now we're in a position where we can go out and start developing the business.
Operator: Our next question comes from Kaan Peker from RBC.
Kaan Peker: 2 questions from me. One, what is the maximum growth CapEx range MIN is willing to spend while the leverage is still remaining above that 2x? Is there a hard cap on group CapEx until this metric is achieved? I'll circle back with the second.
Christopher Ellison: Yes. Look, the Board has done a lot of work around the balance sheet. As you know, we've been really vocal about it over the last 6 or so months. There's been a lot of work done around that. So we've got a Strategy Day coming up in for all of the management, the Board are getting together and trying to have a look at where we're going. And look, I think post that, we'll be able to make some statements. But look, at the moment, pretty hard and fast on just sitting here and doing as we said, just keep growing the balance sheet, keep delivering, making sure that the tonnes are coming out of Onslow Iron. Let's see how the lithium settles down. I mean, we're just really not going to go out and do too much. The one thing I might consider doing over the next few weeks, we're just doing a lot of work around the Bald Hill mine, and it kind of makes sense to bring that back online. But again, we just want a bit more evidence that the demand out there is sustainable. I don't want to go turning that on and keeping it running for a short period of time.
Kaan Peker: And on Onslow, I noticed that you talked about dredging, but given that transshipping is the bottleneck, what's the tipping point or the trade-off with capacity transshipping, particularly around the channel passing and dredging costs? I mean, can you materially move above 40 million tonnes without additional CapEx on the fleet?
Christopher Ellison: The jury is out on that at the moment. Look, all of the stuff that we've got, the transhippers and everything, they're the first in the world. And I mean, there's no doubt they are operating above expectations and what we hoped we would get out of them. Same with the road and the haulage. But right at the moment, we're right in the middle of cyclone season. We bring those other 2 transhippers in. We've got a lot more control over our planned maintenance. The weather, we're always at the beck and call of the weather up there. We're in the middle. We've just had a cyclone go across. That cost us 5 days. But we expect probably 10x that sort of downtime per annum. We've allowed for it in our run rates. But it's sort of a wait and see. In terms of the channel, look, we had a bit of silt that's come into the channel from the cyclone, and down in the turning basin, down to our Perth, the bow thrusters have stirred up the bottom a lot and we've got some uneven ground down there. In the next few weeks, we're going to drag a bar across it with one of our tugs and sort of smooth that out. And then down the track, April, May, we'll bring in a little suction dredge and we'll hoover that bit of silt out of the channel. So there's no real restrictions on that. But look, we're just going to keep doing what we're doing. We're saying 38 million tonnes, the number you can hang your hat on at the moment, but we'll incrementally keep working our way at all of those efficiencies and 18 months from now, I hope I'm telling you even better news.
Operator: Our next question comes from Ben Lyons from Jarden Securities.
Ben Lyons: Maybe just following on that line of thinking, Chris, please. You mentioned the Tropical Cyclone Mitchell. More interested, I guess, in how the haul road held up. Can you just enlighten us to how much water was on the ground? Whether you observed any sort of superficial damage? Whether you had water across that sort of estuarine section near the port loadout facilities, et cetera?
Christopher Ellison: Ben, it was about -- it was only about 1/3 of the rain that we had going back a year ago. And when you get 3x the volume, I mean, we had all that pooling up there and it was brand new. I mean, we thought we got it right. We got it 95% right. And I mean, it was good you went up and saw the road and there was nowhere near the damage I don't think that MinRes was expecting. There's been zero damage to the road, is the answer. That new surface that we put on and taking the asphalt right out to the edges and not letting the water ingress down into the base has worked 100%. So yeah, really happy with that. We pretty much -- as soon as the cyclone was gone and the roads were open, we had the trucks straight back on the road. And there was no concern about it getting spongy or anyone. I mean, it's going like a treat. I mean -- and as you know, we put a fair bit of concrete down inside the base of the road and just paid dividends. So we're getting everything that we expected.
Ben Lyons: Second question's on the POSCO lithium transaction. Just obviously, you've seen a very sharp recovery in prices. Just wondering if there's a bit of seller's remorse, having struck the deal at lower prices. I guess, historically, we've been somewhat habituated to expect a renegotiation of previously agreed contractual terms, about sort of watching our sell downs in and out of downstream processing, et cetera. So just in light of that robust recovery in lithium prices, just wondering whether there's any CPs that might possibly work in your favor to extract some more favorable terms on that sell down?
Christopher Ellison: No. Look, Ben, when you -- we're sort of traders. We buy and sell a lot around assets. And you always look back and wonder if you've done the right thing. But look, I've got no doubt. I'm happy with the deal that we've done with POSCO. They were fairly generous on the day. They were looking at the next 30 or so years out when they set the number. And we get that equal value. So we'll take that capital, we'll be able to reduce debt and we're going to have some capital left out of that to take some of these brownfield opportunities we got both at Wodgina and down at Marion. So by the time we do those upgrades, the flotation plant at Marion and Wodgina, we'll actually have more attributable ore to MinRes than we've actually got now. So it's really positive. So we'll end up with more spod coming out of the ground that we can sell. We'll have that capital to put into the projects. And of course, don't forget, we're going to have Bald Hill sitting down there. It's 100% owned by MIN. Look, I expect not too far down the track when we can afford it and when it sort of fits in the jigsaw puzzle, we'll probably be able to grow that place. I mean, it's a great ore body and very large crystals. It separates incredibly well, so the recoveries down there are great. So yeah, look, just great opportunity in front of us, but the POSCO capital is going to make that work really well for us.
Operator: [Operator Instructions] Our next question today comes from Rob Stein from Macquarie.
Robert Stein: Chris and team, a quick one regarding commercial structures of lithium offtake. You've seen some of your competitors strike some deals with floor pricing to protect downsides. Is that something that you guys are willing to entertain at this point in the cycle, noting prices are well above some of those floor terms, just to secure baseline returns for some of these capital decisions you're potentially going to make in the future? And I've got a follow-up.
Christopher Ellison: The answer to that is no. We wouldn't put those in place. Those sort of deals take an average of about 5 indexes, and typically on a rising market over the last 3 months. We're typically getting above the top index on all of the cargoes that we've been selling. So no, we have no need to do that.
Robert Stein: No problems. And then a follow-up, just on your capital allocation framework. If we project at spot going forward, looks like you could be paying a dividend next year or even at the end of this year. How do you think about that in terms of incremental sources of capital and returns? You've obviously got the 20% return hurdle, but is there internal tension on some of those projects that you're progressing to try to get back on the dividend-paying machine?
Christopher Ellison: Yes. Look, I can certainly tell you, the largest shareholder is not opposed to dividends. But in saying that, too, I mean, we've got to balance, I mean, and we have a look at what the opportunities are sitting in front of us. I mean, if we can go and invest, for example, in some of that brownfield stuff or if something comes along that looks like it's got those 20%-30% ROICs, we're going to weigh that up with where the best value is for our shareholders, and sometimes that capital growth is a much better option. But it just depends on the day. Again, I mean, there's a lot of work being done around that. And when we go through our week on strategy, we'll be looking at all those sort of things.
Operator: Our next question comes from Paul Young from Goldman Sachs.
Paul Young: Chris, it's been a pretty good last 6 months, but it's been a pretty tough couple of years. And I might be getting ahead of myself here a bit, but I know you're always thinking about sort of what's next. I mean, Ashburton has transformed the business. So I'm just curious around when the leverage is below 2x, have you been thinking about adding any new sort of Tier 1 greenfield mining projects to the portfolio or is the focus more around the Mining Services growth?
Christopher Ellison: Look, the answer is, I mean, we never stop looking. We've always got our BD people always out there in the market looking. We never turned down a Mining Services contract. Look, there's a range of opportunities sitting out there and there's no doubt. Well, I think we've got to start looking a little bit offshore as well. And again, good opportunities out there. One of the strengths that we've got is that we've got a long history with a lot of the bigger mining companies. And there's always opportunities out there to be able to partner up with those mining companies that, for example, they may have deposits in different parts of the world, but they don't have the skill set or the in-house capability of being able to get that thing built at a predetermined number, where they know they're going to get the right return, and we can bring that to the table. So yes, look, well, the answer is, I mean, we've never stopped looking at opportunities. And again, over the next few months, we're really going to start having a look at what's available to us, because as you know too, it takes a bit of time to get an Onslow Iron permitted and to get everyone on board.
Paul Young: Maybe just the second question on Mining Services again. You said I think you won 2 contracts in the half and your CapEx was $31 million, so pretty looks like 2 modest contracts in the half, but good to see some growth coming through. Just domestically, looking at the opportunities, are the opportunities really in the Pilbara still and maybe up in Weipa? Just the capability of the team, like, how much volume and new projects can you actually add? What are the capabilities of the team? When do they actually start getting stretched?
Christopher Ellison: Again, we can handle 2 or 3 of those sorts of projects at any given time. It's rare that that happens. You mainly get 1, sometimes 2 coming along. But there is -- look, certainly, in the top half of Australia, there's some amazing opportunities sitting out there over the next 4 or 5 years, and I'm going to go, I said this a couple of years ago, it's probably the best I've ever seen, but I think it's even looking better now. And a lot of that compounds what I just said, that all of the construction companies in Australia have basically disappeared over the last 20 or 25 years. We have that capability in-house and it's kind of rare. So we'll give them a fixed number and go out and deliver. That gives us that really good partnership opportunity. We bring real value to our clients.
Operator: Our next question today comes from Ben Lyons from Jarden Securities.
Ben Lyons: Not sure if it's one for you, Chris, or possibly Mark, but just a question on iron ore spreads. Still recently early days for Onslow and we've seen a bit of fluctuation in the price realization over the journey so far. Just looking at some various price reporting agencies that we track, and we can see, like, a lot of variance between the 61% FE and the 58% and lower grade iron ore spreads. So just wondering if you can possibly comment on what your commercial team might be seeing at present, just in terms of realizations or discounts versus the benchmark?
Christopher Ellison: The discount has been, in terms of us as a seller, it's been very good over the last 6 or so months. We've got another advantage too, Ben, is that, the Onslow Iron product, I mean, 3/4 of the MinRes product goes to Baowu. Baowu have spent in excess of USD 500 million, putting a couple of yards up in China, blending yards, and the Onslow Iron ore is going to get blended with the Simandou ore. So that's a big help to us. There's no doubt there's a bit of a drive on with this China Mineral Resources Group. And they've been in discussion with a number of the big miners. And I have no doubt that's all around trying to manage the pricing going forward. But look, certainly, I mean, we still see good demand. I mean, I keep reading in the paper the stockpiles are up or something's expected to downturn, but we seem to be sitting in there around that sort of $95 to $105 range, and it feels like it's going to hang in there for some time to come. We do try and put about 1/3 of our product out that we sell it, forward sell it, to make sure we have that locked away, but we try and keep a balance with that as well, because it's not always smart to -- sometimes you can outsmart yourself on that.
Ben Lyons: Yes, okay. Maybe just a two-parter, Mark, just on housekeeping, just to make sure I can squeeze it in. The first part is, obviously, Aussie inflation's been running a bit hot recently, so just wondering what that calendar year, haul road charge has reset to versus the $8.27 last calendar year, please? And the second part, it looks like you've stopped capitalizing interest, which is great in terms of quality in the financial statements, but we didn't get a note to the accounts for the interest expense. So I just wanted to clarify that there is no capitalization of interest in this interim result?
Mark Wilson: Ben, it's $8.54. And in terms of the capitalization of interest, it's almost negligible. There was a tiny bit at the start, carrying over from July, at the start of July, but not of any significance.
Operator: Our next question comes from Lachlan Shaw from UBS.
Lachlan Shaw: Great. I just wanted to go to Mt. Marion and just to understand, you're signaling capacity there, about 500,000 tonnes of SC6 versus rough sort of guidance around 390 at midpoint, for the [ BFY ]. What's in that capacity? So is that inclusive of the float circuit? And what's the expected sort of upstream there? Is that inclusive of the underground that needs a bit more work? Obviously, you've got more pit work happening, but just keen to understand sort of how that comes together.
Christopher Ellison: No, the 500,000 tonnes is based on current steady state. That does not include the extra recoveries we're going to get out of the float plant and there's no feed there coming from underground. So it's just moving forward as is.
Operator: Excellent. Thank you very much. There are no further questions. That concludes today's call. Thanks for your time, and have a great day. Please reach out to the MinRes team if you have any follow-up questions. You may now disconnect.